Operator: Good day and welcome to the CNX Resources First Quarter 2025 Q&A Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Tyler Lewis, Vice President of Investor Relations. Please go ahead.
Tyler Lewis: Thanks and good morning to everybody. Welcome to CNX's first quarter Q&A conference call. Today, we will be answering questions related to our first quarter results. This morning, we posted to our Investor Relations website an updated slide presentation and detailed first quarter earnings release data such as quarterly E&P data, financial statements, and non-GAAP reconciliations. Which can be found in a document titled 1Q 2025 Earnings Results and Supplemental Information of CNX Resources. Also, we posted to our Investor Relations website our prepared remarks for the quarter which we hope everyone had a chance to read before the call. As the call today will be used exclusively for Q&A. With me today for Q&A are Nick DeIuliis, our President and CEO, Alan Shepard, our Chief Financial Officer, and Navneet Behl, our Chief Operating Officer. Please note that the company's remarks made during this call, including answers to questions, include forward-looking statements which are subject to various risks and uncertainties. These statements are not guarantees of future performance and our actual results may differ materially as a result of many factors. A discussion of the risks and uncertainties related to those factors in CNX's business is contained in its filings with the Securities and Exchange Commission and in the release issued today. With that, thank you for joining us this morning. And operator, can you please open the call up for Q&A at this time?
Operator: Thank you. We will now begin the question and answer session. Our first question will come from Zachary Parham with JPMorgan. Please go ahead.
Zachary Parham: Hey, thanks for taking my question. I guess first just wanted to ask on activity levels. You all had a significant amount turn in lines in 1Q with 2019. Can you talk about the rest of the turn in lines during the year? When do those come in line? And maybe comment on what the production trajectory should look like through the back half of the year and maybe into 2026?
Alan Shepard: Yeah. Hey. This is Alan. A lot of those tools came in line called the later part of the first quarter. As we've mentioned on the last call, the bulk of our completions activity was going to be scheduled in the first half of the year. So you'll see a few more TILs in Q2. And probably a lull in Q3 and then some additional TILs coming in in Q4.
Zachary Parham: Thanks. And then just wanted to follow-up. On the 4Q call, you talked about having the flexibility to add some activity to the program in the second half of the year. Given the volatility we've seen in gas prices, how are you thinking about flexing that activity? And maybe talk about the timeline on when you would have to make a decision on whether or not to add some activity.
Alan Shepard: Yeah. Right now, there's no planned changes to the activity set. Kinda watch it through this part of the shoulder season here and see where end of summer storage is targeting and go off that as our queue. Thanks.
Operator: Our next question will come from Leo Mariani with ROTH Capital Partners. Please go ahead.
Leo Mariani: Hey, just a couple of quick here on some of the numbers here. Looks like you guys actually paid some cash taxes in the first quarter. A little bit surprising. Generally thought you guys weren't going to be paying much on the cash tax side. Just curious if that was kind of a one-off. And then just on the buyback, kind of very robust number here. In first quarter. You know, $125 million, you know, pretty big number. You know, I guess, is it fair to think that kind of around this $30 level, you guys think it's a pretty compelling investment here in the buyback?
Alan Shepard: Yeah. On the cash taxes front, we're still a de minimis cash taxpayer. Know, if you're seeing noise trying to reconcile deferred tax to things, that's basically from the hedge book. We don't become a material tax cash payer until about $3 billion in cumulative free cash flow, which is the current projections called sometime 2027-2028 as we've talked about previously. There is a little bit of state tax starting to hit, but, again, that's all very de minimis. In terms of your latter question, yeah, I think, you know, we're always we see value kind of the repurchases when we do them as part of our process.
Leo Mariani: Okay. Appreciate that. And I just wanted to ask, if you guys have got any kind of further intel in terms of how the Trump administration might be looking at changes in 45Q here?
Alan Shepard: No. We don't have anything outside of what's in the public domain.
Leo Mariani: K. Thank you.
Operator: Our next question will come from Gabriel Daoud with TD Cowen. Please go ahead.
Gabriel Daoud: Thanks. Hey, good morning, everyone. Maybe just following up on Zachary's question earlier. Could you maybe just give us a sense then of what volume trajectory looks like? Imagine just given a heavy first half, you're declining into the second half and probably into 26%. So what's the production level that you guys would like to hold flat into 26? Is it 1.4 b's a day on the gas side? And if that's the case, what's the CapEx level needed to hold that flat into 2026?
Alan Shepard: Yeah. I think if you take out the TIL comments I made earlier, you can kind of infer from you know, if you wanna do quarterly production, Again, we don't get too tied up in looking at quarterly production and even annual production levels. You know, we have kind of a range we've been in the last few years, and I would expect going forward would be in that sort of range plus the volumes associated with Apex. But again, you know, we're solving for free cash flow per share as opposed to any particular production level target.
Gabriel Daoud: Understood. Thanks for that. And then I guess just as a follow-up, some M&A in your backyard recently, maybe just any kind of updated thoughts on the transaction that just changed hand recently in Westmoreland and generally your views on future opportunities in the area? Thanks, guys.
Alan Shepard: Yeah. No. Think it kind of reinforces what we've been saying for the last decade, which is that particular area of the basin is some of the best rock that's gonna be moving forward. So you know, from our perspective, we have significant acreage position up there. And we're excited to have a new neighbor that's kind of validated our thesis on the area.
Gabriel Daoud: Gotcha. Thanks, guys.
Operator: Our next question will come from Noah Hungness with Bank of America. Please go ahead.
Noah Hungness: Good morning, guys. For my first question here, I was hoping to ask you on Slide six. Looks like your NYMEX and NGL pricing has kinda declined as, as you guys kinda mark to market, with strip moving down and then also the natural gas differentials seem to have widened a bit. But your free cash flow guidance for the year is unchanged. Could you kind of walk us through some of the potential improvements in the base that's kind of driving that free cash flow resiliency?
Alan Shepard: Yeah. So just a reminder, we're 85% hedged. When you see the open volumes pricing change, you're really talking about just call it, three quarters of exposed pricing at this point on 15% of volume. So there's not a there's not a huge amount of wiggle room associated with open pricing left. For the full year. And then, you know, the free cash flow guidance we give, it is a it's a point number, but it's it's really sort of a range around a number. So it I've been get overly specific in trying to reanalyze it. We'll be in that range and we're reaffirming that range.
Noah Hungness: Got it. And then we've seen some power gen and data center announcements in that, kinda in that Southwest Central PA area. And I was just kinda hoping to get your guys' latest view on how you see in basin demand developing and if you think we'll continue to see announcements over the next six to twelve months?
Alan Shepard: Yeah. In my opinion, I think you're gonna see a lot of announcements and we'll see how many of those translate into actual construction. Overall bullish for all the operators in the basin very similar to any sort of utility coming in as sure everyone will be able to benefit from the increase in basin demand and shrinking of differentials associated with that. So we'll we'll see which ones actually develop. But generally a great back when to have for everyone.
Noah Hungness: Sounds good, guys. Thanks.
Operator: Our next question will come from Jacob Roberts with TPH. Go ahead.
Jacob Roberts: Good morning. I was hoping to hear some thoughts about the Apex turn in lines that happened during the quarter, just how those are performing relative to the base business and the outlook there?
Navneet Behl: Hey. Go ahead. Hi. This is Navneet. Yeah. The eight wells that we brought online from Apex, they are they are pretty pretty soon, you know, better than we expected. So we are pretty optimistic about the long-term production on these wells.
Jacob Roberts: Great. Thanks. And my second question, I think you guys have spoken to there not necessarily being a correlation between attribute sales in the Buchanan power facility. Just hoping to clarify if that facility is showing up on the PJM deactivation list will have any impact on that segment or if there are any other of those types of deactivations we might need to be thinking about?
Navneet Behl: That won't have any impact on our EA sales. We use multiple facilities across PJM to create those credits.
Jacob Roberts: Thanks. Appreciate the time.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Tyler Lewis for any closing remarks.
Tyler Lewis: Great. Thank you again for joining us this morning. Please feel free to reach out if anyone has any additional questions. Otherwise, we look forward to speaking with everyone again next quarter.
Navneet Behl: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.